Operator: Good day and welcome to the Quest Resource Holding Corp. Fourth Quarter and Full-Year 2014 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Rob Fink, Hayden IR. Please go ahead.
Rob Fink: Thank you, Operator. I would like to welcome everyone to Quest fourth quarter and full year 2014 earnings call. Hosting the call today are Brian Dick, President and Chief Executive Officer and Laurie Latham, Senior Vice President and Chief Financial Officer. Before I turn the call over to Management, I'd like to remind everyone that this conference call may contain predictions, estimates, and other forward-looking statements regarding future events or future performance of Quest. Use of words like anticipate, project, estimate, expect, intend, believe and other similar expressions is intended to identify those forward-looking statements. Forward-looking statements also include statements regarding Quest's future opportunities for growth, Quest's expectation for revenues, margins and profitability in the future, Quest's industry position and industry trends and future opportunities related to Quest's e-commerce website and comprehensive global directory. Such forward-looking statements represent Quest’s current judgment about the future and they are subject to various risks and uncertainties. Risk factors and other considerations that could cause Quest's actual results to be materially different are described in Quest's Securities filings including its Forms 10-K, 10-Q and 8-K. You can find those documents on Quest's website at www.qrhc.com. Quest does not assume any obligation to update that information. Actual events or results may differ materially from those projected including, as a result of changing market trends, reduced demand and competitive nature of Quest's industries. In addition to this conference call we'll include a substantial amount of industry and market data and other statistical information as well as Quest's observations and views about industry conditions and developments. The data and information are based on Quest's estimate, independent publications, government publications, reports by market research firms and other sources. Although Quest believes these sources are reliable and the data and other information are accurate, we caution that Quest does not independently verify the reliability of these sources or the accuracy of information. In addition Quest's observations and views about industry position and development are its own and may not be supported by or agreed with by other industry participants and observers. Certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results and evaluate the company's current performance. Management believes the presentation of these non-GAAP financial measures will be useful to investors understanding and assessment of the company to ongoing core operations and prospects for the future. Unless it is otherwise stated it should be assumed that any financials discussed in this conference call will be on a non-GAAP basis. A full reconciliation of non-GAAP to GAAP financial measures are included in the earnings [report]. With all that said I'd now like to introduce Brian Dick and turn the call over to him. Brian the call is yours.
Brian Dick: Thanks Rob. Good afternoon and welcome to Quest's inaugural quarterly earnings call and webcast. Thank you all for joining us today. Twenty fourteen was a very productive and successful year for Quest as we more than doubled our previous year's reported revenue with 174.5 million of revenue generated as well as generated positive EBITDA of 1.4 million which was an improvement of more than 9 million over the prior year. We significantly strengthened our balance sheet with the successful completion of a public offering that raised $16.3 million in net proceeds that were used to retire outstanding debt and add capital to our balance sheet. During 2014 we added a significant number of new clients reducing our overall concentration risk and adding higher margin business to our overall portfolio to establish a basis for continued margin improvement over time. At the same time the number of client locations, a key operating metric and leading indicator of our future results rose from over 15,000 unique locations at the end of 2013 to over 20,000 locations at the end of 2014. Subsequent to year-end we topped the 32,000 location marker before the end of the first quarter in 2015. Quest is well positioned to contain this growth and expansion as we aim to reach 500 million in revenue, expand our margins and achieve sustainable profitability in the next two to four years. Before we get into a more detailed review of the quarter and the full year, since this is our first earnings call, I'd like to take a minute to provide everyone and particularly those who maybe new to our company, a brief history of our business and some inside into the market as well as key catalyst that we believe will drive sustainable long-term profitability for our company. I was the Co-Founder of Quest Resource Management Group which was formally known as Quest Recycling Services in 2007 after spending more than a decade working for a number of well established waste management and environmental contracting service companies. At the time a long time client Wal-Mart was faced with a challenge. They had just unveiled Sustainability 360, a companywide directive to make environmental concerns central to all business decisions. As a part of this directive Wal-Mart launched its Zero Waste program to minimize waste streams and reduce the use of landfills through sustainable recycling programs that would minimize its environmental impact while optimizing its financial impacts. Wal-Mart identified several key types of waste they wanted to recycle as a part of this initiative but quickly found out that a national infrastructure that can handle the volume that they produce in an efficient and economically viable way was not readily available. It was from this unmet concept that Quest was born. What started out as a trial program in a single state with a single service line, scrap tire recycling, was quickly rolled out as a national program over the following 18 months. Prior to Quest scrap tires from Wal-Mart's Tire Lube Express Centers and Sam's Club Tire and Battery Centers were handled by hundreds of local suppliers which was inefficient and difficult to manage. In addition to meet the goals set forth for sustainability, they needed a process to ensure higher end usage of scrap tires including the ability to sell tire derived products in their stores and clubs or use them in the various construction projects. Quest was able to build a subcontractor network that was able to assist them ensuring that the scrap tires were collected, processed and recycled in some cases in a rubber mould that was then returned to the company as a product and sold in its retail stores and clubs. Wal-Mart was an early adopter of the idea that operational inefficiencies could be converted into environmentally sustainable solutions and as a source of profit that may have otherwise been overlooked or mismanaged. Wal-Mart remains our largest client today. Since launching as a start up in 2007, we've grown revenues year-after-year significantly expanding the breadth of our service offerings, strengthen our overall network of service providers and invested heavily into the development of our internal systems needed to scale our business. In July of 2013, Quest Resource Management Group was fully acquired by a public holding company Infinity Resources Holdings Corp. and its wholly owned subsidiary Earth911 Incorporated. The company of the combined entities was now renamed and as what we know today as Quest Resource Holding Corporation. The companies in the operations of Quest are located in the Frisco, Texas area. Today Quest manages an integrated recycling solutions program for some of the largest companies in the world at over 32,000 unique client locations in all 50 States, Canada and Puerto Rico. We are the one-stop recycling solutions company with a national footprint that allows our client to maximize the value of their waste while reducing the overall cost and impact to the environment. Our clients are a very diverse group that span from retail, automotive, industrial, municipalities, hospitality, food service, healthcare and property management industries. They include blue chip companies such as Wal-Mart, Sam's Club, Kroger, AT&T and the largest Pizza Hut franchisee group owned by NPC International among many others. The U.S. waste management industry is estimated to be a $55 billion market according to the Waste Business Journal. At Quest we are focused on addressing a subset of that overall market. Our target market includes the 50 largest retailers, grocery store chains and restaurants, the hundred largest automotive car dealerships, as well as top manufacturing facilities and office buildings managed by large management groups, which collectively is estimated to be $2.7 billion. We have selected this portion of the overall market as our focus because the business within the target markets have potential to capture the highest return on investment for our offering and realize the most significant environmental impact. Our value proposition in these businesses is quite simple. We reduce their recycling and disposal costs by decreasing the ecological footprint with a quantifiable ROI. We provide extraordinary client care with a single point of contact for all their locations across the country. We also effectively manage thousands of recyclers and waste haulers to collect, transport and process waste streams into valuable resources and because we don’t manage fleets, recycling plants or recycling plants our requirements for capital to assets are minimal and we'll be able to provide scale through our network of contractors. As a result, we can quickly rollout and provide our services at a competitive price point and maintain flexibility to add or change services as our client's needs evolve. We also differentiate ourselves by providing a wider offering of services the majority of which are specialty programs such as hazardous materials, food waste, automotive waste services as well as other recycle processes. These specialty programs are often what attracts new clients to Quest and provides us an entrée into their company which I'll discuss later in this call. They also provide us with the opportunity to expand our relationships with clients over time. To give you a sense of the value that we provide our clients, let me turn to a brief discussion on how we address three primary waste stream groups; food waste, automotive and industrial waste, solid waste and single stream. So let me talk about first food waste and food waste recycling services. We believe that we manage the largest food waste recovery program in the industry. With a national footprint we manage over 500,000 tons of organic material and over 12,000 tons of meat and seafood from over 9,000 client locations in 2014 alone. This waste had previously been disposed in landfills and often represented as much as 35% to 40% of a grocery store chain or a restaurant's total waste. Through our programs, food waste is collected, processed and turned into compost, animal feed additives or other materials that reduce the landfill waste. The second area is our automotive and industrial waste stream services, which addresses the waste minimization needs or car dealerships, automotive aftermarket retailers and fleet operators. In 2014, we managed the recycling of 23.5 million gallons of used motor oil, 6,800 tons of used oil filters and 15.6 million tires at over 8,000 client locations. Our hazardous waste program provides industry-leading expertise designed specifically to help retailers reduce their risk of noncompliance and protect their brands. With these services, retailers of all size can manage their waste as well as the data reporting and training necessary to remain compliant. The collection of hazardous waste is increasingly becoming a more intricate part of our business. Earlier in March of 2015, we announced the addition of 13,000 locations to our hazardous waste program which included a small box discount retailer with over 12,000 locations. We believe this is a positive indicator for the demand for these services. Our third area that I'll talk about is our solid waste and single stream material waste services which include more commonly recyclable items that such as cardboard, plastics and other materials. We're positioned well in this part of the industry but as you might expect we face a wider and more significant competition from a large number of service providers in this area. We provide one or multiple services to some of the largest companies in the world. We have grown our business from an idea, a single state trial service with Wal-Mart in 2007 to over 20,000 locations in 2014 and now more than 32,000 locations as of today. Over the past seven years, we have achieved this growth while retaining 99% of our client locations. As I think about our business going forward, there are also two macro trends and one client trend that we believe will fuel our growth in 2015 and position our self to reach the stated goal of $500 million in revenue in the next two to four years. The first macro trend, creating opportunities for us is the changing regulatory environment. Regulatory issues and more stringent control of material bound for disposal are making the management of solid waste an increasingly challenging program for businesses. The Environmental Protection Agency along with state and local governments are expected to continue the trend of restricting the amount of potentially recyclable materials bound for landfills. These restrictions can create additional opportunity for us as proper disposal of these materials becomes more specialized and companies look to outsource the handling of solid waste in order to gain efficiencies and reduce their overall cost to meet regulatory requirements. As an example, over the last 12 to 18 months, large national retailers have been fined and penalized hundreds of millions of dollars for the mismanagement of hazardous waste by the EPA, State Regulators and Department of Justice not to mention the impact that violation can have on the company's reputation and brand. Regulators are increasingly monitoring national retailers for the improper disposal of pesticides, batteries, electronic devices, over-the-counter medicines, bleach, paint, aerosols, automotive products, solvents, pharmaceuticals and other hazardous wastes. In addition, the disposal of expired or damaged products is increasingly coming under scrutiny. The automotive industry is also bracing for significant impact in 2015 due to strengthened EPA regulations in the regulation of non-metallic used oil filters, tire pressure monitoring systems, airbags and seat belt tensioners to name a few. In addition to those the Massachusetts food waste ban signals an increasing level of awareness at a State and local level to mandate food waste recycling and eliminate its landfills. We see the State and local trend continuing across the future as local landfills have less capacity and tighter regulatory restrictions. The second macro trend we believe will drive growth in our business is increased sustainability mandates from large corporations. More and more corporations are seeing the value in setting tangible sustainability goals and focusing on their environmental performance, increasing employee satisfaction, enhancing their public image and bolstering their bottom line. Over 70% of companies with annual revenue greater than $1 billion publically communicate their overall sustainability strategy and 50% have publically set goals for waste to landfill reductions. We applaud these initiatives but the reality is the goals set in the corporate office are often challenging to accomplish. The operations managers tasking with carrying out those initiatives to advance these goals often lack the resources and knowhow to implement and more importantly monitor the progress. Quest provides that solution. We work with our clients to identify the path to sustainability, develop, deploy and help manage programs to deliver their desired goals. As more Fortune 500 companies work to advance their sustainability goals and show progress, we’re confident that we’re well positioned to service the growing demand with our solutions and services. And finally, the third factor we expect to drive our growth in this business is expanding our existing client relationships for our organic growth. Many of our clients come to us initially with the assistance on one specific program or to address a specific challenge. As we build relationships with our clients and they see the value we add, we have additional opportunities to expand these relationships and grow our business organically. Similar to the expansion we experienced with Wal-Mart whereby we have grown our relationship from one program to five, we have a track record of expanding these relationships with other clients as well. The results speak for themselves and our success in maximizing efficiency for clients and reducing their ecological footprint are supported by our positive financial and operational results. There remains significant opportunity to cross sell and further penetrate our existing client base. On the digital and data side of our business we have two areas where we see opportunities for growth. The first is through Earth911.com, a website and online community which is focused on low waste living and clean and green lifestyle. This site manages a comprehensive disposal directory for locations within the United States. The site attracts millions of visitors each year, has page views in the tens of millions and generates digital advertising revenue for our company. In the fourth quarter of 2014, we launched an e-commerce component to our site. Our advertisers are supporting of this new offering. We’re cautiously optimistic that the incremental revenue maybe generated from this offering in 2015 and 2016 will be with a limited ongoing investment. In addition as we scale and continue to grow our business on the service side we believe there could be opportunities to monetize the data that we collect through our national footprint. While it’s still early to tell and to know we will not be able to -- we think some day we will be able to capitalize on this data and we’re optimistic those opportunities will continue to exist. With that I’d like to turn the call over to Laurie for a more detailed review of our financial results. Laurie, please go ahead.
Laurie Latham: Well, thank you Brian and good afternoon to all of you on the call today. Revenues for the fourth quarter reached 46.8 million compared with 37.9 million for the corresponding period in 2013, an increase of 23.5% driven primarily by organic growth in recycling and waste service fees and commodity revenue. Gross margin for the quarter was 7.6% compared with 4.9% for the corresponding period last year. Earnings before interest, taxes, depreciation, amortization and stock related non-cash charges or EBITDA was a loss of 412,000 for the fourth quarter of 2014 compared with a loss of 874,000 in the fourth quarter of 2013. The improvement was primarily driven by a decrease in net loss coupled with lower interest expense as a result of retiring 22 million in debt in September of 2014. That was partially offset by slightly higher depreciation and amortization and an increase in stocked-based compensation. We compute EBITDA, which is a non-GAAP financial measure, as reflected in today’s press release reconciliation table to provide additional insight into our financial performance. The loss per basic and diluted share was $0.02 for the fourth quarter of 2014 compared with the loss per basic and diluted share of $0.04 for the fourth quarter of 2013. For the 2014 year, revenue increased by 106.9 million or 158.4% increase to 174.5 million up from 67.5 million in 2013. The increase was primarily due to a 38.5 million or 28% organic growth increase in service and commodity revenue from the prior year and a 68.9 million increase from consolidating a full year of the recycling and waste services fees in 2014 compared with a partial year in 2013, which was subsequent to our acquisition of Quest Resource Management Group which occurred on July 16, 2013. This growth in revenue has reduced our customer concentration with Wal-Mart our largest client which represented approximately 59% of our 2014 revenue versus 76% of our 2013 revenue. The gross margin for 2014 was 8.2% of total revenue compared with 7.5% for 2013. The increase in gross margin was primarily due to increased revenue from recycling and waste services and commodity revenue as compared with the prior year. For the year ended December 31, 2014, EBITDA was 1.4 million compared with an EBITDA loss of 7.9 million in the prior year. The 9.3 million improvement was primarily driven by narrowing of the net loss, a decrease in stocked-based compensation which was partially offset by an increase in depreciation amortization primarily driven and related to the acquisition related intangible assets from 2013. The loss per basic and diluted share for 2014 was $0.10 compared with a loss per basic and diluted share of $0.23 for 2013. Now turning to the balance sheet for just a moment, as of December 31, 2014 we had 3.2 million in cash and cash equivalents as compared to 2.7 million as of December 31, 2013. Our working capital as of December 31, 2014 was 1.3 million. This was a 6.7 million improvement from the working capital deficit of 5.4 million as of December 31, 2013. Total long-term debt outstanding as of December 31, 2014 was 45,000 a significant reduction from the 17.4 million outstanding as of December 31, 2013. For the third quarter of 2014, we successfully completed a public offering of our common stock for net proceeds of approximately 16.3 million. We utilized a majority of the proceeds to repay 11 million of our convertible secured notes. This repayment combines with the concurrent conversion of an additional 11 million of the convertible secured notes into shares of our common stock resulted in an overall reduction of 22 million in debt. As a result, the related interest and financing cost of more than 4 million will not reoccur subsequent to 2014. Turning now to our outlook. As Brian indicated earlier, we are focused on achieving 500 million in revenue in the next two to four years and expect to see the continuation of increasing our client base and therefore increasing annual revenue in the upcoming year. In addition, as we enter into 2015 and as a result of lower petroleum prices, the pricing in the secondary market for used motor oil has declined significantly. We have some flexibility against fluctuating commodity prices as a result of our business model since we capture a fixed spread by serving as broker between our client, the seller and a contracted buyer. We expect that commodity related revenue as a percentage of total revenue may fluctuate until used oil prices recover. That said the higher prices for used oil over the past few years and now the declining prices from a decade ago have disrupted the status quo in the market. Many used oil service providers who are not protected against the risk of commodity pricing fluctuations relied heavily on elevated secondary market pricing to make collection economically viable. Others may have debt-to-service or lack flexibility in changing the end use options for the used oil they collect. At current market pricing, we believe we are well positioned to capture market share from those that can no longer service clients in a cost effective manner or who have not had the flexibility in valuing their used oil from a regional or spot market perspective. Increases in volume and client growth will certainly help offset the reduction in commodity pricing and we believe position us to grow our commodity related business over the near and long-term. That concludes our prepared remarks and we would like to now open up the call for your questions. Operator?
Operator: Thank you. (Operator Instructions) We’ll take our first question from William Bremer with Maxim Group.
William Bremer: Very nice granularity on the underlying business, Brian, appreciated. You also mentioned you added some higher margin businesses during the quarter. Can you touch base on that a little bit?
Brian Dick: Well as we talked about in our release the single stream typical commodities like cardboard, plastics those things as well as solid waste are very competitive and that is where we do see our lowest margins. Where we see our larger margins and our ability to expand is in our specialty services, so certainly we see the opportunity in the hazardous waste space for retailers as that one of the specialty services, as well as our food waste recovery and recycling businesses that we feel we have a unique position in and really is being driven now from a regulatory standpoint to drive this food waste out of recycling landfill. So as usual we can’t predict where new business is going to come from, but we do see a lot of positive movement towards interest in our specialty services like hazardous waste and food waste.
William Bremer: My next question is based on just the overall, what we’re seeing in the G&A expenses that came in a little bit higher than what I was anticipating for the quarter at $4.4 million. Just wondering and maybe this is a question for Laurie, is that sort of the run rate I should be using going forward or was there some type of maybe one time charges that affected the fourth quarter both year-over-year and sequentially?
Laurie Latham: Well, we have had a lot of growth in our business so we have had an increase just year-over-year with the increased operational people we’ve added. But in addition to that, especially if you look at compared to Q3, in Q3 we did have a pickup in our expenses from a benefit of subleasing our old space in Phoenix and that was over $500,000 and is a one-time occurrence but that did reduce our expenses in Q3. One of the other things that will fluctuate quarter-to-quarter to some level is the capitalized software developments that we do, some quarters it will be higher and as far as sort of capitalized some quarters it’s lower and in Q4 it was lower. So the only other additional thing that happened in Q4 is we did experience a little higher level of bad debt expense and although it’s something that is really even significant in comparison to our revenues that we did scrub through some of our accounts and went ahead and did some reserving on some of those bad debts.
William Bremer: Okay, so what type of level should we have a run rate going forward throughout 2015 then on SG&A?
Laurie Latham: Well, I think that Q4 is a pretty good representation. It will probably fluctuate like I said up and down from that level and if we continue to add substantial levels of clients, we will have some increase in our operating personnel cost.
William Bremer: Okay, and so looking at your gross margins Brian and Laurie, you just voiced about the-- and we’re all cognizant of the underlying commodities. Is it fair to assume that first quarter and maybe the first half of the year will be sort of in the same type of gross margin range as this fourth quarter came in?
Brian Dick: I think our gross margins are dictated by our customer mix and obviously what service lines are coming in. With the downturn of the used oil revenue from the commodity market, we will see lowered revenue but because of our business model and the strength that it provides us of not having inventory and not being in a hedge situation, we will actually see an increased margin that from activity due to the lower revenue, so we do have that fixed fee if you will in between or fixed percentage of a marketed scale that will increase our margin by percentage, and as you have seen from our recent releases, our entrée into the hazardous waste space, we feel is again one of those specialty markets that will see some continued gross margin improvement with that.
William Bremer: Okay, so basically a nicer run rate going forward there. And then just a question on the total share fully diluted, I realize that the options and the warrants were anti-dilutive, so what should we be using as a fully diluted in terms of shares outstanding for 2015?
Laurie Latham: So at the moment, at the end of the year in addition to the 111.6 million shares that we had outstanding, we had approximately 13 million in warrants and an additional 5.5 million in outstanding options that would bring you to a total of 130.1 million roughly.
Operator: We will take our next question from Marco Rodriguez with Stonegate Capital Partners.
Marco Rodriguez: Wondering if maybe you could talk a little bit more about the gross margins, it’s kind of question out a little bit, I hear you guys are obviously adding higher margin clients. There is a negative impact here in the short term on the commodity business but some of your commentary seems to indicate that these margin should be going up and sequentially they were down, so can you talk a little bit more about what kind of were the drivers there in Q4 and then maybe if you could provide some sort of percent of revenue that of your commodity business did that represents?
Laurie Latham: Well Marco if you look at year-over-year Q4, we’ve actually had a fairly large improvement, Q4 year ago was 4.9, Q4 this year is 7.6. So there are some adjustments that tend to come through in the fourth quarter, we did have a few of those adjustments that came through, whether they were little contractual or expense adjustments, so some of the adjustments caused part of that decline and part of it was just the mix of the different kinds of services that we had in the fourth quarter. Do you have anything else to add to that Brian at the moment?
Brian Dick: I think that yes…
Laurie Latham: In a nutshell really where we are and as far as a percentage of our commodities as we have certainly discussed before that our commodity portion of all of our revenue runs somewhere around 25% to 30% and our -- during 2014, and our oil related portion of the commodity percentages has been about half in 2014. Now of course those percentages will change as we’re going into 2015 but that gives you a little bit of insight.
Brian Dick: One clarification Marco [indiscernible]
Marco Rodriguez: Yes.
Brian Dick: Just one clarification on the statement that you made, just so we can be clear, is the used motor oil marketplace is down, revenue will be down but Quest operates in a fixed percentage on a floating scale that the commodity changes, so we will see a gross margin increase in those services, our revenues will be down but we’re still making the same net percentages that are associated with our scales and our matrix that we have for that.
Marco Rodriguez: Got it, okay that’s helpful and then maybe you can talk a little bit more about the organic growth initiatives, I believe you guys commented the fact that organic growth for fiscal '14 was about 28% maybe if you can talk about some sort of any sort of sales and marketing initiatives you have planned for '15 and how we should be kind of thinking about the growth rate ramp in '15?
Brian Dick: Sure that’s certainly one of the things that we think is exciting about our company is obviously we’ve grown the business to this year ending at almost $175 million but it’s clear that we have many customers that we don’t have full penetration in as far as the overall services that we could provide. So many of our customers that have come in over the last two to three years have brought us in at one service, two services maybe a state or region and so we have a dedicated client services team that is focused on that continued growth of new services and new locations in providing solutions, if you will, that will grow our relationship. So we have a dedicated team inside of Quest that manages each client on a day-to-day basis for that type of growth as well as our sales team is focused on that as well and we think that we have a lot to do in organic growth, not just new business but with those existing customers. So from a sales and marketing standpoint it’s not a new initiative, it’s a structure that we’ve had in place since the start of Quest but it’s something that from our standpoint, we don’t have to add new business and new clients to grow our business significantly.
Laurie Latham: Also our door had a lot of people come to it, because of volatility in the oil industry right now, we have had a lot of opportunity.
Brian Dick: Yes, we certainly -- our unique position of allowing for a large organization to utilize regional players puts us in a really unique position for our clients that have never had an opportunity to utilize a mix of subcontractors and providers that may only cover one state or one area or one city for that matter and so with the unique business model that Quest can provide to them, they know that there is another national solution other than some of the larger players in these individual industries and so to a large point, we’ve had a very busy end of the last year into this first quarter of sales activity and meetings.
Marco Rodriguez: Got it. Is there a plan at all to add additional head count on the sales side?
Brian Dick: Yes, we’re always looking to add, as we talked about last year, we’ve added an additional four sales people to our team in 2014 and we want to continue that trend, but we want to do it with the right people. One of the things that’s unique about Quest is our business model and it’s definitely a relationship sell, it’s a sell of expertise and you know we’re looking for people that have the industry knowledge and long term history in that industry but also our custom is selling in a relationship consulting manner if you will, versus a price list and so as we find those qualified people, we’re certainly interested and have many openings for those types of people in our company. We expect to add somewhere between seven and ten sales team members by the end of this year 2015.
Marco Rodriguez: Got it and last quick question, I will jump back in the queue. On the balances side, can you talk a little bit about your cash use for fiscal '15 and how we should be thinking about cash flow through the fiscal year?
Laurie Latham: So between cash we have on the balance sheet and our operations along with our line of credit, we feel we are in a good position as we’re moving through 2015. So, we feel we’re in a good position and that’s where we see our cash flow coming from.
Marco Rodriguez: Do you have, I'm sorry go ahead.
Brian Dick: I was just going to add to -- sorry Marco. I was just going to add to our statement, our capital needs are really driven by two things in our business and that would be continued growth for the needs of working capital. So as we add new clients, we’re having to staff in advance for those new clients whether that would be in our accounting team or client services team, so many times we will have to staff a few months early to get ready for large client adds and then the other thing that we would have the need for capital and additional cash beyond what we have today would be acquisition opportunities, which we are looking at and we are aggressively searching for the right fit to provide potentially an acquisition growth plan for us. With that said, we still think that organically we can grow this business at the same rate, so we’re not focused for our growth on acquisitions but because of the public currency we have available to us and our structure that we have now, we feel that we are positioned well for an acquisition but those would be the only two things. If we have a significant amount of growth in 2015 beyond maybe our expectations or we have an opportunity for an acquisition, other than that our cash position seems to be adequate.
Marco Rodriguez: Got it and then if I may just one more quick follow-up in regard to that. Do you expect to be cash flow positive in fiscal ’15? And then on the acquisition side maybe if you could provide some sort of color on I don’t know whether you got a deep pipeline or what sort of opportunities you might be looking at this time?
Laurie Latham: Marco when you say cash flow positive, there is really two parts of our cash flow, we already -- when you look at just sort of operational cash flow from the P&L perspective, we vary up and down but we’re pretty close to a breakeven, but then as you look over at our balance sheet and our need for capital, for working capital that’s where we may continue to consume cash as we add large clients and fund that start-up cost and fund that AR and AP cycle. So that’s how I sort of look at it, I look at it from that two perspectives from the operational and from also requirements we have from a balance sheet working capital position.
Marco Rodriguez: Got it and acquisitions, what those -- were those in the pipeline for you guys?
Brian Dick: Well we don’t really comment on pipeline of acquisitions but we can say that it’s something that we find as attractive for us. We feel that we’re ready, as an organization we have a very strong management team and it’s something that we are -- when we look for acquisitions, we’re looking for the opportunity to take that core business they may have and expand and so as we look at potential acquisitions the most important thing for us is what does their customer make up and can we add in businesses that we specialize in like grocery store clients that may have food waste or automotive service clients that we can add in our used oil and tires and other things. So to that point, our ears are open, our eyes are watching and of course we have both support from our management team and Board for that process but nothing that we can identify at this time.
Operator: We will take our next question from Nelson Obus with Wynnefield Capital.
Nelson Obus: Yes, I am a little new to the story but I realize that your top-line can move around depending on the price of commodities et cetera, yet you have kind of put a goal out there two to four years out. Why wouldn’t you also put a goal out there for EBITDA margin so that we could get a sense of whether this business lends itself to operating leverage or not?
Brian Dick: Well we see the -- obviously when we set the goal of the top-line revenue it equates to many different things in our business and so from an EBITDA standpoint, we are focused on the growth of the business that we feel that we will, as we get bigger, we will have the scale to better negotiate contracts, more buying power, the ability to leverage in our staff and our team and so as we look at our business, our focus is building our systems internally for this growth pattern of what we believe to be 500 million. We’re focused on growing and promoting our management team to be ready for these types of level and so we’re not as a business focused on our EBTIDA because we want to focus on the growth side of our business. We’ll continue to increase our margins, we’ll continue to increase the number of locations and clients which overall will give us better buying power which all will translate in, so when you look at the $500 million goal I think it’s more of -- there is many other factors beneath that drive that overall goal and locations, customers, volumes all those things are really important to us in getting to that where we feel is a very exciting level for us.
Nelson Obus: What would be the argument for not doing a reverse split because with $1.25 stock is not taken serious in many institutional quarters and you do have a large market cap, so I am interested in -- I’m sure you’ve discussed this but you know why wouldn’t you do -- why wouldn’t you move forward, I mean you are projecting a respectable business model, a respectable company and then you’re putting yourself in the category of marginal penny stocks which really don’t play in the U.S., this isn’t England?
Laurie Latham: Well, I’ll respond this way. Both of the management team and our Board of Directors, we’re very aware and focused and sensitive to how we are perceived in the market, what is the right approach for our shareholders and we’re very aligned with the shareholders out there and addressing those. So these are types of things that we’re always considering. We’re always looking at and try to formulate the best plans as we go forward.
Nelson Obus: Well maybe your brokers like this because they get higher margins. but I mean the reality is that you lose a significant component of credibility by representing yourself as a penny stock and frankly, I would beg to differ with you, I think that if you have shareholders who feel that they want to own $1.40 or $1.20 stock as opposed to $12 stock, you probably don’t want to those shareholders because they are not long term holders who are buying into the development of the Company. I mean if I had a business and somebody came to me with offered me a service and I had $1.25 share price and I knew something about the market, I would -- it would be a bit of a red flag, that’s all I am saying and I think it’s something you should think about if you want to be taken seriously at the institutional level, there are a number of institutional firms that won’t even look at a stock under five.
Brian Dick: I think we hear your concern and your comments and that’s -- we’re all open to that and I think that’s -- its great feedback and we will take it under advisement of course it’s been on the topics before and your opinion is respected and appreciated.
Nelson Obus: Just final one other question, I mean very interesting your big picture of arguments and so on an so forth about why this Company has a bright future. How would you characterize the reaction of your competitors and people that you’re going to have to displace in the markets to some of the macro trends that are very, very clear to me given where I live and then and very valid. I mean are they ignoring them, are they incapable of executing nimbly or are they going to give you a battle, I am just, I am curious what your take on that is?
Brian Dick: Well of course there is always going to be competition. These service lines that we are in or are getting into or are expanding into, we’re always going to have competition and I think that the thing that differentiates us from some of the larger competitors is our flexibility, a lot of times within these different bigger companies they have a certain way that they invoice, a certain way they collect things, a certain types of container. Whatever those things may be and because we are truly working on the same side of the table as the client, they can kind of drive these solutions that fit best for their business. And so I think there is always going to be competition and there is always going to be decision of A and B but I think we’re the Company that can align ourselves the best with our clients and that’s why we feel confident is this new regulatory pressures and moving in an industry, that’s why we think we’re aligned better than some of our larger competitors because of that difference in business philosophy.
Nelson Obus: I guess I do have one more question and I don’t mean this negatively although I may -- what exactly were your bad debt write-offs? Because I am not excited -- a Company that has EBITDA margins that are so low, which I am willing to accept cannot sort of just brush off bad debt write-offs as being a small part of the top line, I think because if it get too high, it’s going to wipe out your EBITDA and cause you – what exactly were the write-offs in the quarter or in the year?
Laurie Latham: As disclosed in our 10-K they were around 400,000 for this year.
Nelson Obus: That’s tiny, okay and that’s in keeping with the fact you’re doing incredibly -- you’re dealing with credible. I think that’s a very important metric and I think that underlines the fact that your customers are credible. It’s a good thing to come right out with okay because if you are doing 400,000 on almost $200 million of revenues or whatever over a hundred million of revenues that’s very, very good.
Brian Dick: Thank you.
Operator: (Operator Instructions) It appears there are no further questions in the queue. That does conclude today’s conference. Thank you for your participation. You may now disconnect.